Operator: Thank you for standing by. This is the conference operator. Welcome to the Danimer Scientific, Inc. Third Quarter 2022 Earnings Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Brad Grey, [ph] ICR. Please go ahead. 
Unidentified Company Representative: Thank you, operator, and thank you, everyone for joining us today for Danimer’s third quarter 2022 earnings call. Hosting the call today are Danimer’s CEO, Steve Croskrey; and CFO, Mike Hajost. During our discussion today, we will be referring to our earnings presentation which is available on the Investor Relations section of our website at danimerscientific.com. On slide 2, please note that we may discuss forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include, among other things, future results of operations, capacity, production and demand levels that could differ in a material way from those expressed or implied in the forward-looking statements. We assume no obligation to update any forward-looking statements to reflect events or circumstances after the date hereof, except as required by law. Today’s presentation also includes references to certain non-GAAP financial measures. Reconciliations to the most comparable GAAP measures can be found in the earnings presentation. I will now turn the call over to Steve.
Steve Croskrey: Thank you, Brad. Good afternoon, everyone. Thanks for joining. Our third quarter results were in line with our expectations as we progressed further against our multifaceted growth strategy to transform the plastics market. We produced third quarter revenues of $10.4 million with PHA revenues up 26% year-over-year, now representing 51% of our revenue. With additional capacity available to us from the expansion of our Kentucky facility during the second quarter, we believe we are extremely well-positioned for several significant expected customer product launches in the months ahead. We have been through a long journey that we believe puts us significantly ahead of any competitors in terms of our core competencies of application development and commercial scale production. Even as COVID, inflation and supply chain issues have impacted the timing of R&D projects and customer launches over the past couple of years, we have been able to expand our capacity and maintain strong relationships with existing customers. We continue to see strong interest for our biodegradable solutions. It is important to reiterate that we are focusing on the factors that are in our control and our strategic priorities as shown on slide 3 remain unchanged. We believe our experiences in overcoming the challenges over the past several years have made us a stronger company and we are now better positioned than ever to accelerate our growth trajectory as customers are expected to launch new products and as we secure new customers to fill our capacity at Kentucky and beyond. While our Georgia greenfield facility expansion remains a core part of our future leap forward, our operations in Kentucky are situated today to provide us with positive cash flow to run the business effectively as volumes grow. Turning to slide 4. We continued to execute our growth strategy during the third quarter with PHA revenues up 26% year-over-year, now representing 51% of our revenue. Following the successful expansion of our Kentucky operations in June, we have continued to ramp up our production capabilities at that facility. We still believe that we may have opportunities for both better raw material utilization and other cost savings at the Kentucky facility in the future as we increase production. Additionally, our learnings from the Kentucky facility construction now provide us with confidence that we can reduce our CapEx costs by up to one-third on future plans following the construction of our Georgia greenfield facility. In our efforts to enhance team capabilities to support growth, we were pleased to hire Stephen Martin as our new Chief Legal Officer and Corporate Secretary. His broad skill set, familiarity with numerous industries and experience managing the legal affairs of publicly-traded companies will be vital as we continue our growth journey. On the business development side, we are thrilled to announce that we recently signed a distribution agreement with Formerra, formerly Avient, a leader in specialty polymer formulations and distribution across the globe. I will discuss this agreement in more detail shortly. I’m sure many of you are aware of my recent trip to the White House in September. I was honored to speak on behalf of Danimer at the recent White House summit on biotechnology and biomanufacturing for the American bioeconomy. Danimer was the only biopolymer company invited to the event, which was held in conjunction with President Biden’s September 12th Executive Order, launching a national biotechnology and biomanufacturing initiative to ensure that products invented in the United States can be manufactured here as well. The summit included a high level roundtable with members of Congress, Cabinet Secretaries and other industry and academic leaders, as well as a panel on biotechnology research and development to solve pressing challenges across our industry. The President also recently signed the landmark CHIPS and Science Act, which makes historic investments to strengthen American manufacturing, research and development, science and technology. Overall, I left the visit highly encouraged that our federal government is really getting behind the biopolymer industry and is taking the plastic waste issue seriously. In addition to the executive orders I just discussed, Congress’s recent introduction of the Inflation Reduction Act also provides an additional $40 billion of loan authority for the U.S. Department of Energy title XVII loan guarantee program. As a reminder, Danimer is currently in the Part 2 application process for loan guarantee into this program. And we continue to work closely with the DOE to secure this funding. In regards to other important updates on the regulatory side, a new amendment was recently passed as part of California’s previously announced ban on single use plastic bags provided at the point of sale. This amendment calls for the ban of petroleum based grocery store pre checkout plastic bags by the year 2025. These pre checkout bags are often seen near the fruits and vegetables section in grocery stores. California will be the first state to discontinue this common grocery store item, which can be replaced with Danimer’s biodegradable solutions. Moving to slide 5, I’ll speak in more detail to some of our recent customer and business development updates. As a reminder, our customers are primarily major blue chip multinational brands that have all made long-term commitments to make their plastic packaging recyclable, reusable, or biodegradable in the years ahead. Our multinational partner Mars Wrigley is still on track to launch a Nodax based bag for their Skittles brand, which we believe to be the world’s first time compostable candy packaging and we expect to provide more details on their progress in the coming months. Definitely our partner PepsiCo has been successful with their compostable chip bags for their Off The Eaten Path brand of chips, which are currently sold in Whole Foods stores across North America. As I mentioned earlier, we recently signed a distribution agreement with Formerra, formerly Avient, a leader in specialty polymer formulations and distribution across the globe. Formerra offers highly specialized technical processing, design and regulatory support for critical end market applications in the healthcare, consumer, industrial and mobility markets. They support leading blue chip customers and suppliers with the value combination of commercial and technical expertise, global market knowledge and industry-leading logistics and service capabilities. With their extensive customer base and knowledge, we’re excited for the future of Danimer Nodax to reach a broader array of customers and applications. In regards to Nodax based products that are currently sold through our converter partners, our partner WinCup’s phade straw brand made from Nodax is now in approximately 315 distribution centers in 238 cities across the U.S. phade straws are now WinCup’s fastest growing product. Separately, we’re also happy to report that all Costco store food courts in the U.S. now offer Danimer’s Nodax based straws. These straws are produced and distributed by our partner Eagle Beverage. Additionally, our Nodax based straws are performing well at Starbucks locations and we are pleased with the growth of this business. As it relates to our progress with quick service restaurants, Danimer is still in discussions with and providing sample products to 5 of the top 10 largest QSRs in the world, many of which have 2025 goals to replace their current materials with recycled, compostable or biodegradable materials. We expect these prospective customers to represent significant business for Danimer in the coming years, as we continue to help our customers meet their sustainability goals. The timing of customer launches is the most variable factor as it relates to the shipment of our products. As I discussed with you last quarter, interest in our solutions is increasingly strong, while on the other hand, many existing and potential customers are still dealing with supply chain bottlenecks, inflation and overall economic concerns that impact the timing of orders and deliveries. While these factors may continue to impact specific customer timelines in the near-term, we have a diverse lineup of several significant customer product launches starting as early as this year. That said, we expect a bulk of these launches to occur in the first half of 2023. These new products will consist of a wide array of applications ranging from quick service restaurant materials, CPGs food packaging, protective packaging, films and industrial applications. We project that these specific product launches over the next several months will eventually require an amount of PHA based volume that is well in excess of our Kentucky capacity. To be more precise, once fully commercialized, we expect the combined volume and again, just from these specific product launches to require over 100 million pounds of PHA based finished volume annually by 2026. Now, it is important to remember that we expect these launches to benefit our results gradually, in step with the case is typical of our large global customers that launch new products in stages. While we have a strong line of sight on demand that scale up is not linear, we expect to see an initial benefit to our volume in the first 12 months of the launch, followed by a more pronounced step up in shipments as we move beyond the first 12 months. These planned launches support our expectation to dramatically increase volumes through 2026 based on our current customer schedules. Now, I’d like to turn the call over to Mike to discuss our financial results and outlook.
Mike Hajost: Thank you, Steve. I’ll speak to slide 6. We closed out the third quarter with sales of $10.4 million, which were down $2.9 million, or 22% compared to $13.4 million in the prior year third quarter. The sales decrease was driven primarily by $4.4 million year-over-year reduction in PLA resin sales. This was partially offset by a $1.1 million or 26% increase in PHA based resin sales. With PHA based resin sales now at $5.3 million, that product now represents 51% of total sales. As a reminder, a portion of PLA sales was negatively impacted by customer operations in Ukraine and Russia. We reported a third quarter gross loss of approximately $4.1 million compared to a gross loss of $230,000 in the prior year period. On an adjusted basis, gross loss was approximately $800,000 compared to gross profit of $2.6 million in the prior year quarter. The decrease in adjusted gross profit was primarily driven by lower PLA volumes, which continued to have a higher adjusted gross margin than PHA. Although that differential is diminishing as the volumes of each product change. Said another way, our PHA margin improved as volumes of the product increased and our PLA margins decreased as fixed costs were expensed across a lower volume base. As we have mentioned previously, we expect our average cost per unit at our existing facilities to improve as PHA production scales. For the third quarter 2022, R&D and SG&A expenses, excluding depreciation and amortization, stock-based compensation, rent and one-time items were $11.2 million compared to $9.2 million in the prior year quarter, mainly attributable to an increase in headcount and salaries to support R&D efforts and our future expansion plans as well as increases in costs associated with having a larger asset base, such as property and liability insurance. In addition, this quarter includes three months of R&D and operating expenses related to Danimer Catalytic Technologies, which we acquired in August 2021. Adjusted EBITDA was a loss for the third quarter of $12.9 million, compared to a loss of $7.4 million in the prior year quarter, primarily due to the factors I discussed in our gross profit, SG&A and R&D results. Adjusted EBITDA excludes stock comp, other income and other add backs as reconciled in the appendix. I want to briefly mention the non-cash goodwill impairment charge that we took in the third quarter. Given the decline in our market capitalization during the quarter to a level well below our book equity value, we determined that the value of our goodwill was impaired. Our goodwill originated from the Novomer acquisition in August 2021, but it is important to note that the impairment determination considers the entire Danimer business and does not reflect a change in our view of the value of the Danimer Catalytic Technologies business. We remain confident in our ability to execute against our strategic objectives with a prudent focus on profitability and cash management. Beyond the potential funding from the DOE loan program to support our expansion projects, we have multiple avenues to fund and run the existing business as we look forward. We continue to believe that our operations at Kentucky should provide us with the ability to run the business and manage cash effectively, as we work to reel in additional customer contracts, while our current customers ramp up more significantly in volume. It is important to note that we have a cost structure, which is largely built out to support the expansion of our business, through the coming years. That said, we have the ability to flex our spending to an appropriate level to meet demand, while controlling costs to improve cash flow. Our cash position at the end of the quarter was $99.1 million. This was augmented by net cash inflow of $5.5 million of additional forgivable new market tax credit loans during the quarter. Additionally, in the third quarter, we initiated a new at the market or ATM program. Since that time, we have issued a modest amount of shares to cover the cost of implementing the program, making that program launch cash neutral. I’d like to emphasize that we will carefully look at opportunities to enhance our liquidity and will be very disciplined in the levels at which we issue shares. Looking at our outlook, for the full year 2022 on slide 7. Based on our results year-to-date and our updated visibility through year end, we are sharpening our full year 2022 expectation for adjusted EBITDA to be in the range of negative $45 million to negative $40 million. As we finish up 2022, the factors we discussed over the last few quarters have and will continue to remain intact. The positive year-over-year contribution from higher PHA based resin volumes will be more than offset by several factors. This includes lower PLA sales, expenses associated with higher headcount and other costs to support our asset base, and a full year of operating costs, and Danimer Catalytic Technologies to support the future commercialization of these products. Regarding cash flow, we now expect capital expenditures in 2022, to be in the range of $165 million to $170 million, inclusive of capitalized interest and internal labor. As mentioned on prior calls, we will remain flexible with our capital spending so that we can speed up or slow down the Greenfield facility construction. With this flexibility in our spending, we expect to end the year 2022 with cash between $60 million and $65 million. Looking beyond 2022, we continue to believe that our PHA revenue is poised to drive a significant increase in our overall profitability. PLA revenues will likely remain challenged. We’ve already made significant investments in our SG&A and R&D, that we can leverage over time as revenues grow. Additionally, we remain confident in the future profit contribution for our investments in Denver Catalytic Technologies. Now, I will turn the call back to Steve for some closing remarks on slide 8.
Steve Croskrey: Thanks, Mike. In conclusion, as we move into 2023, we will continue to focus on executing the six priorities of our growth strategy, while maintaining a prudent approach to cash management. With our industry-leading application development expertise and our expanding production capacity, we believe we are better positioned than ever to capitalize on new customer contracts in conjunction with preparing our current customers’ expected product launches. Interest in our best in class biopolymers remains strong. And we are excited to capture growing share of the market as we move forward. Thank you for your time today, and we look forward to updating you on our progress. We will now open up the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Jon Tanwanteng with CJS Securities. Please go ahead.
Q - Jon Tanwanteng: Good afternoon, everyone. Thanks for taking my questions. I was wondering, Steve, could you be more specific in what kind of ramp you’re expecting with these initial volumes on these new launches, maybe just over the next one to two quarters? What kind of visibility to do have into the timing of that and the initial volumes, and then maybe just a little more specificity and how much they ramped from there?
Steve Croskrey: Jon, what was the follow-on question?
Jon Tanwanteng: And just how quickly do you think they’ve ramped from there?
Mike Hajost: Well, the complete scale-up will take several years and it won’t be linear. It’ll be dictated by the actual timing of the product launches that we’ve been forecasting. But we expect significant growth and a dramatic improvement in the utilization of our Kentucky facility next year. But the volume next year would be on the low end as compared to the volume obviously at the full run rate. As I said it’s not going to be linear. These things will start smaller and then grow quickly into 2024.
Jon Tanwanteng: Okay. Got it. The reduction in CapEx this year, Mike, is that just a change in the timing of your spending or is there something else going on there? Maybe change your estimates? I think you mentioned or someone mentioned in the prepared remarks that your capital spending estimates are coming down, going forward, but I wasn’t sure that reflected this year’s spend as well?
Mike Hajost: Yes, Jon, great question. No, we’ve kind of just looked at being just very frugal with our CapEx spend. And we’ve just identified areas where we can slow down to CapEx spend. So, we’re committed to some spend out to the years, but we’ve been able to move those out. And that’s just taken some, immediate pressure off of the cash flows. And I think the slowdowns will be impactful as we’re kind of waiting for the volumes to ramp up into Kentucky facility and kind of lessen the burn rate of cash in that direction. So, there’s nothing significant of that we’ve stopped other than the Greenfield project. But that’s the majority of a cash CapEx that we had -- really had in our estimate before. So majority of this related to the greenfield.
Operator: The next question comes from Laurence Alexander with Jefferies. Please go ahead.
Laurence Alexander: I guess just the follow-up on that. Can you just unpack a little bit, what utilization rate Kentucky needs to hit to be free cash flow breakeven? And secondly, can you unpack your comment that it will take several years to hit the high-end of utilization rates? And that we’re at the very low end, next year? Are you sketching a scenario where you’re at 5%, 10% utilization rate next year and you get upto 80% in 5 years or 7 years, or can you give some sort of framework around how you think the order book relates to the production ramp?
Mike Hajost: I’ll take the first part of that, Steve. I think in terms of we think of Kentucky, Kentucky, should be a strong cash generator for us and as -- levels that are certainly well below its capacity. And they don’t have any SG&A for the most part, and very little R&D. So everything that got kind of going through, it’s just going to be really gross profit, is going to be pretty representative of the EBITDA at that point. So, we’re estimating levels that are probably even in the range of 20% or so of this capacity utilization on a consistent basis, would be able to make that facility breakeven from an EBITDA standpoint. And so, that has got to kind of grow to the point where, where can it start to cover then the roughly $50 million or so that we have in R&D, and SG&A at the corporate level. And we don’t think it’s -- it’s probably in the range of maybe two thirds to three quarters of the actual using its nameplate capacity to reach that. So, even on top of that, it has the ability to generate cash when fully utilized, that can even then support some CapEx for the organization, but certainly not enough to fund things like a greenfield project.
Steve Croskrey: And Laurence, Steve here, I’ll try to answer your second question. So, we’re saying that just with these product launches that are in front of us and not looking at the rest of the pipeline, but just the launches that we’re expecting in the next several months, we will do over 100 million pounds of product shipments in 2026, which implies we have to hit that run rate, it’s sometime in ‘25. So we will accelerate rather quickly from ‘23 to ‘24, but we’re not giving specific guidance for ‘23 just because of the variability of timing of customer launches, but we do expect it to be a significant growth improvement, and as I mentioned earlier, a dramatic improvement in the utilization of the Kentucky facility in ‘23.
Laurence Alexander: Great. And then, if I may and then I’ll hop back in the queue. Can you just then tie that to how you are thinking about the minimum cash balance you want to carry in ‘23 and ‘24 and the timing of any further expenses on the greenfield?
Steve Croskrey: Sure. Yes, we have kind of carefully plotted out where we believe the cash balances are going to go. And we are certainly comfortable in the $60 million to $65 million range ending this year that we have guided towards. And I think as we have said in the past, we believe with ebbs and flows, we’d certainly love to stay above $20 million or so on a kind of go forward basis. And with the various levers that we feel like we have, most importantly, just getting volume improving through the Kentucky facility, reducing the burn rate, managing our costs and continuing to moderate spend on the greenfield until we have that funding in place, we feel like we can actually make it through for quite some time.
Operator: The next question comes from Thomas Boyes with Cowen & Company. Please go ahead.
Thomas Boyes: Great. Thanks for taking my questions. Maybe just I want to follow-up on the greenfield facility just because I know that it wasn’t in the deck anymore. Was there any spending in 3Q? I think originally there was maybe $136 million as of 2Q. And then, is that -- now that we are kind of decelerating there, is that the expectation that you could still start production in 2024 or is that like we’re going to circle up with this at a later date and time once we have better volumes in Kentucky?
Steve Croskrey: I’ll go ahead and take part of that question. I’ll let Mike answer the Q3 greenfield spend. But what I would say as far as 2024 start up that will depend on when we get the DOE loan closed. At this point, it’s still possible to hit late 2024, but it’s probably more than likely it will slip into 2025 at this point, again, just depending on the timing of the DOE financing.
Steve Croskrey: Thomas, to answer your first question, we spent just a tick over $16 million on CapEx for the greenfield in Q3.
Thomas Boyes: Got it. Should there be some nominal spending going on just over time just as you are continuing to do small amounts of work or do the kind of cruise that you had moved over from Kentucky to go to the green facility, are they kind of going home or how does -- how do we think about that kind of CapEx load?
Steve Croskrey: I’ll take that. We didn’t really move a crew over from Kentucky to the greenfield, Thomas. We did have a small staff there running the project, which we’ve handed those responsibilities over to our engineering firm. And so, we have reduced our footprint there considerably.
Mike Hajost: Yes. Just to add to that, so there is a couple of different major buckets we spend out for the greenfield. One of those is engineering and for the most part at the end of 2022, we believe that spend will be completed. The construction is really where the slowdown is occurring there. We don’t really have much activity going on there. So we do think there is a very nominal amount of that to occur in 2023. There are some pieces of equipment that we’ve already ordered. And those are coming in and we do have obligations to pay for that. But overall, the spend on the greenfield for CapEx for next year will be a fraction of what it was for this year. And again, we’ve pushed some of these payments out a little bit further, especially on the procurement side is really the area we’ve had some success in pushing out payments. And that’s what’s given us, I think, a little bit of an ease on the cash burn from a CapEx standpoint.
Thomas Boyes: And then, maybe just I want to make sure I didn’t miss it. It was just on -- originally, we were thinking that there would be kind of EBITDA breakeven for the Kentucky facility sometime exiting the year. Is it 20% utilization is the right number, is it 13 million pounds or so at that facility? Is that something you could easily see in the first half of next year, or is it kind of too early to say, just based on the variability of the customer lunches?
Steve Croskrey: Yes. I would say that we certainly have stated that we believe that Kentucky facility would be breakeven on a run rate basis at some point in the fourth quarter of this year. And that’s certainly, that’s still our view on that. And so, as we kind of move into 2023, again, things are lumpy. And we don’t know the exact timing of when these launches will occur. But it would be our expectation, certainly that that facility would be breakeven as we enter into 2023.
Operator: The next question comes from Jon Tanwanteng with CJS Securities. Please go ahead.
Jon Tanwanteng: Hi. I just wanted to follow-up on the comments on the DOE loan and maybe the push out of the other greenfield startup. What is the change there, just in terms of timing and the various moving parts that that you guys are discussing with them?
Steve Croskrey: So we, I think it was we stated, we believe that we’ll be in a position to submit our Part 2 application before the end of this year. And we’re assuming it’s going to take them four plus months or so to probably work with that. So, I think -- we still don’t believe there’ll be any funding opportunities really in Q1. We are hopeful that we’ll be able to have a funding and draw starting in Q2 of 2023. And that’s really kind of the best knowledge we have at this point.
Jon Tanwanteng: And just with the timing and the financing in question and the construction, what is the sentiment of your customers and potential customers who probably need your greenfield? What are they thinking in terms of signing agreements with you, just given that all this stuff is in the air?
Steve Croskrey: Well, thanks for the question, Jon. Our customers -- we are obviously -- checking in with us on volumes and commitments, as they plan their launches. So they understand that we have a limited volume, but we are making those commitments individually to each customer to make sure that we can support their plan. And going into the future, we will clearly need the greenfield facility to support that growth. But that’s a ways off yet and we have enough material on hand here to support these product launches that are coming up. But customers are also -- there’s kind of a longer queue of customers now that are looking at signing new offtake agreement
Jon Tanwanteng: Okay, got it. With your existing PHA customers, nothing new launches that you’re talking about. What are the designs we’re expecting out of them as we go forward? I think Q3 was probably -- might have been a trough for them, but I don’t know if there’s more pressure just given the macroeconomic pressures?
Steve Croskrey: Yes. No, good question, Jon. Yes. Kind of looking at the at the macro situation in the economy, what we saw in Q3 was that existing customers are being prudent and conservative in their own business and kind of planning ahead in case there’s a recession, those kinds of things. And so, we see a lot of activity where -- with things like inventory reductions, we certainly see that easing into Q4. And we would expect Q4 to have higher volume from existing customers than in Q3.
Jon Tanwanteng: And then finally, do you have any update on the Catalytic PHA opportunity, either with your partners in the petrochem industry or licensing?
Steve Croskrey: Yes. No specific update Jon, except to say that we are in deep discussion and negotiation, both with our potential co-location partner, which is going very well, and also with an offtake partner, which is also going well, so we remain very optimistic and upbeat about the opportunity there and continue to -- our internal work also continues to reaffirm. I think on the last quarter’s call, I mentioned that we had shown the ability to replace Nodax in several of our formulations with up to 50% of Rinnovo, which is a significant change versus the 30% that we estimated when we made the acquisition. So, it continues to move in the right direction. And we’re very excited about that.
Operator: The next question comes from Laurence Alexander with Jefferies. Please go ahead.
Laurence Alexander: Could you unpack a little bit more sort of the technical side of the partnership with Kemira? Where are you are on the trialing of formulations, whether any products has actually moved into testing or even commercial applications at this point?
Steve Croskrey: Sure. Laurence, I can’t get into too many specifics on the actual technical piece of the question, but to answer the last part, there is product in trials now, product is out with customers being tested. And there are several trials scheduled. And that whole project remains on track and moving forward in a favorable way. Thanks.
Laurence Alexander: And if it does scale up, would you be -- you’d be supplying it from the Kentucky facility. Is that right?
Steve Croskrey: Yes. Laurence, we would supply it from the Kentucky facility. We would be supplying either powder or liquid solution.
Laurence Alexander: Now, it obviously would be a high class problem, but you have to keep a certain amount of capacity at Kentucky available for Kemira to -- in case they decide to proceed, do you -- reflects capacity and reserve for them?
Steve Croskrey: Well, we have some kind of mutually agreed minimum quantities, which are built into our plan built we’re not holding like millions of pounds without a customer or a contract. So, it’s not an issue that would affect us.
Operator: The next question comes from Thomas Boyes with Cowen & Company. Please go ahead.
Thomas Boyes: Thanks. Just actually wanted to follow-up on -- I understand the kind of the macro conditions causing a bit of delays for potentially new launches. But for previously identified headwinds, I know there were some production constraints with certain customers where they just lack the capital equipment to make straws and some of that stuff as I guess, on boats. And to the extent that you know, has it largely been resolved? Is all that now installed and up and running for them? If there was to be a return of higher levels of demand, would it be called flat footed or are they kind of just -- is everyone ready?
Steve Croskrey: Yes. Good question, Thomas. And my understanding in all the situations that, I was personally familiar with, those issues have been ameliorated that things have settled out now and everybody is in good shape.
Thomas Boyes: Got it. And then, just a final one around the canola production, just you lock in pricing, what kind of average pricing are you seeing on a quarterly basis? Is there any change in the thought process there and how far out you kind of look to lock in pricing based on availability in 2023 and beyond?
Steve Croskrey: I’ll let Mike answer the specific questions on the pricing. But there is no change in our strategy and we continue to look up as far as a year out, in conjunction with our suppliers make the best decisions possible as far as locking in those prices. I’ll let Mike cover the specifics.
Mike Hajost: Yes. So just the first and I guess background, our average price in Q3 is about $0.88 per pound in terms of what we used in our product. We have locked in on average about $0.86 per pound for the first half of 2023. We have the ability to go a little further. I think we have to some degree. Prices aren’t probably too far off of that. Again, I think based on our conversations with industry context, there is still an expectation that prices decline in the future as more capacity comes on.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Steve Croskrey for any closing remarks.
Steve Croskrey: Thank you again to everyone for joining us today. I’d like to thank you for your continued interest in Danimer Scientific and we look forward to updating you on our progress in the future.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.